Operator: Good day, ladies and gentlemen, and welcome to Ichor's Third Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this call is being recorded. I would now like to introduce your host for today's conference, Claire McAdams, Investor Relations for Ichor. Please go ahead.
Claire McAdams: Thank you, operator. Good afternoon, and thank you for joining today's third quarter 2024 conference call. As you read our earnings press release and as you listen to this conference call, please recognize that both contain forward-looking statements within the meaning of the federal securities laws. These forward-looking statements are subject to a number of risks and uncertainties, many of which are beyond our control and which could cause actual results to differ materially from such statements. These risks and uncertainties include those spelled out in our earnings press release, those described in our annual report on Form 10-K for fiscal 2023 and those described in subsequent filings with the SEC. You should consider all forward-looking statements in light of those and other risks and uncertainties. Additionally, we will be providing certain non-GAAP financial measures during this conference call. Our earnings press release and the financial supplement posted to our IR website each provide a reconciliation of these non-GAAP financial measures to their most comparable GAAP financial measures. On the call with me today are Jeff Andreson, our CEO, and Greg Swyt, our CFO. Jeff will begin with an update on our business, and then Greg will provide additional details about our results and guidance. After the prepared remarks, we will open the line for questions. I'll now turn over the call to Jeff Andreson. Jeff?
Jeff Andreson: Thank you, Claire, and welcome, everyone, to our Q3 earnings call. We are pleased to report strong third quarter results with $211 million of sales, above the top end of our forecast, continued sequential improvement in gross margin and EPS of $0.12. Ichor's business model generates strong earnings leverage as revenues increase. And in Q3, we delivered operating income growth of more than 40% with 4% sequential revenue growth and nearly 30% gross margin flow-through from Q2. As we have progressed through 2024, our visibility for a recovery in the semiconductor process equipment market has become incrementally stronger each quarter. And we are very pleased today to be reporting upside to both our Q3 results and our Q4 outlook. Our second half of 2024 is currently expected to be 7% to 10% stronger than the first half in terms of revenues. Within this incrementally stronger revenue outlook and at the midpoint of our Q4 guidance ranges, we expect to deliver gross margin flow-through of over 30% and 160% increase in operating income compared to the first half of 2024. Around this time last year, we made some refinements to our target financial model in which we increased our planned investments in R&D to drive more significant gross margin leverage. Our expected results for the full year 2024 are proof points of strong execution on our key financial strategies. For example, we've increased gross margins each quarter through 2024 and expect additional improvement in Q4. For the full year, we expect to maintain similar SG&A levels as 2023, while R&D investments had stepped up by about 15% compared to last year. Most importantly, we are making excellent progress in our strategies to increase the proprietary content of our product portfolio. Before I review our specific progress qualifying new products, I'll briefly summarize our views on the customer demand environment. What's become much clearer since our August earnings call is that while overall WFE is expected to grow in 2025, the debate as to the magnitude of that growth has intensified. The majority of the headwinds impacting WFE growth expectations next year reflect lower estimates for lithography, China WFE and trailing node investments. At the same time, the incremental tailwinds for 2025 growth are primarily related to growing investments in NAND, gate-all-around and advanced packaging, all largely geared at supporting the performance requirements of leading edge AI devices. These incremental tailwinds are all positive for Ichor's business and revenue growth profile. First and foremost, the WFE environment, as we enter 2025, is expected to reflect a greater level of etch and deposition intensity than we've witnessed over the last two years. An increase in the overall etch and deposition intensity of WFE is likewise going to equate to outperformance for the fluid delivery market and is clearly a net positive mix change for Ichor. The next tailwind specifically relates to expectations for a NAND recovery, which has recently endured the longest and steepest downturn in recent history. 2025's expected expansion of NAND WFE is aimed at technology upgrades to bring a greater proportion of the world's NAND supply up to the most advanced bit densities. These upgrades will be enabled by more fluid delivery subsystems, whether through bringing in more advanced etch and deposition tools or through upgrading the process chambers on the existing installed base. An increase in NAND spending is likewise a net positive mix change for Ichor. The next area of incremental confidence in spending growth is advanced logic, specifically gate-all-around. These device architectures require an increasing use of emerging applications such as selective etch, where we participate heavily in gas delivery systems, as well as increasing intensity for multiple deposition steps, including epi and ALD. Overall, a transition towards more advanced logic investments is also a net positive mix change for Ichor, mainly because it will drive increased etch and deposition intensity where we have a larger share of wallet. Furthermore, China WFE is expected to decrease in 2025. Given that WFE is expected to grow next year, this means that WFE outside of China will grow faster than the overall market. This is another net positive mix change for Ichor. While we certainly participated in the strong business environment enjoyed by US OEMs selling into China over the last couple of years, a significant portion of domestic China WFE is served by domestic China equipment OEMs. As the WFE mix shifts towards other regions in 2025, these will in turn lead to outperformance for the US OEMs revenue growth in this next cycle. Finally, the incremental growth in advanced packaging investments in 2025 is an additional tailwind, largely mitigating the incremental downticks in EUV expectations. While expectations for EUV installations in 2025 have come down, the build rates have remained fairly stable for Ichor throughout this year. So, at this time, we expect a similar to slightly lower level of revenues from lithography in 2025 and that these will be largely offset by our participation in advanced packaging applications and in markets outside of semiconductors through our subsidiary, IMG. To summarize our expectations of industry spending dynamics, the mix shifts of investment priorities in the coming year are, on the whole, very positive for Ichor's business, and regardless of the magnitude of WFE growth expected for 2025, we are confident in our ability to outperform the growth in WFE next year. Likewise, we are confident in our ability to demonstrate strong flow-through and deliver continued expansion of our gross margin profile as we enjoy a more robust customer demand environment in the coming year. Before turning the call over to Greg, I'll provide a brief update on our proprietary component qualifications that are now being installed on our existing gas panels as well as our next-generation gas panel. We continue to make steady progress closing our additional component qualifications and cutting them into our manufacturing pipeline. The growth in our new products this year is positively impacting our profitability, demonstrated by our performance, delivering gross margin improvement on similar revenue levels over the last few quarters. I'll start with our new component products, starting with fittings, which are used in our weldment products. Our fittings are now qualified at two of our customers, and we expect to complete a third customer qualification for our proprietary fittings in early 2025. The next component, now qualified at all three of our largest process tool customers, are our substrates used in our gas panels. In valves, we have been qualified for our high-purity valves at one customer and are currently in qualification at two additional customers. Fittings, substrates and valves are all critical components used in the existing gas panels that we assemble as well as our next-generation gas panel. These components will continue to ramp in volume in 2025. Now, moving to our next-generation gas panel, we have now shipped over 30 of our proprietary gas panels and expect to ship an additional 25 by the end of the year. Most of these new gas panels are on our customers' evaluation tools that have been shipped to a device manufacturer. Our new gas panel contains about 80% proprietary Ichor content compared to 10% previously, which will drive significant expansion of our gross margin profile. These tool evaluations typically take about nine months to complete. So the earliest the initial evaluation will be completed remains late in the fourth quarter. During Q3, we were qualified on an additional application, bringing the total qualifications for our next-generation gas panel to four. In summary, I'd like to convey our confidence in our execution to date on these proprietary products and our confidence in their strong contribution to gross margin improvement as we move into a more robust spending environment. In combination with continued operating expense discipline, I'll remind everyone today that our business model and financial profile tend to generate significant operating leverage as revenues grow. With that, I'll turn it over to Greg to recap our Q3 results and provide further details around our Q4 financial outlook. Greg?
Greg Swyt: Thanks, Jeff. To begin, I would like to emphasize that the P&L metrics discussed today are non-GAAP measures. These measures exclude the impact of share-based compensation, amortization of acquired intangible assets, nonrecurring charges and discrete tax items and adjustments. There is a useful financial supplement available on the Investors section of our website that summarizes our GAAP and non-GAAP financial results as well as a summary of the balance sheet and cash flow information for the last several quarters. Third quarter revenues were above the upper end of guidance at $211 million, up 4% from Q2 and 7% higher than the same period last year. Gross margin improved 60 basis points sequentially to 13.6%, which was slightly below expectations. While we continue to recognize the benefit of our internally produced products and improvements in factory efficiencies, these were muted by a strong mix of our integration products, which drove the upside in Q3 revenues. Q3 operating expenses came in slightly below forecast at $22.4 million and $500,000 higher than Q2. The increase from Q2 was due to the expenses associated with our ERP implementation projects. Our operating income for Q3 was $6.4 million. Net interest expense of $1.6 million was down from the Q2 expense of $1.9 million, reflecting a full quarter benefit of our improved leverage ratio. In Q3, we experienced higher foreign exchange losses than we expected. And at the same time, tax expense was lower than forecast, which completely offset the unfavorable impact of foreign currency fluctuations. The resulting net income per share was $0.12. Now turning to the balance sheet. In Q3, our cash and equivalents increased $2 million from Q2 to end the quarter at $116 million. We generated $8 million in cash flow from operations, reflecting the net investment in working capital during the quarter. Accounts receivable increased from the previous quarter on a higher revenue, and DSOs were 36 days. Inventory increased $8 million during the quarter to end the quarter at $239 million, and inventory turns increased to 3.1. Now, I will provide our guidance for the fourth quarter of 2024. With anticipated revenues in the range of $220 million to $235 million, we expect Q4 gross margins will again improve sequentially to a range of 14.5% to 15.5%. Looking forward to 2025, we expect to continue to see the benefits of our internally produced products and improvement in factory efficiencies to drive at least a 25% flow-through to gross margin on our incremental revenue growth. We expect Q4 operating expenses to remain similar to Q3 levels at approximately $22.5 million. Given our forecast for continued gross margin expansion and flat OpEx at the midpoint of guidance, we expect to achieve an over 80% increase in operating income from Q3 levels. Within the stronger demand environment expected in 2025, for modeling purposes, you should assume a 5% to 10% increase in annual operating expenses as we continue to invest in the development of our proprietary products and other growth initiatives. Net interest expense for Q4 is expected to be $1.5 million with other expense expected to be an additional $500,000. Given our paydown of the entire revolver balance in Q1, we have reduced our annual interest expense by half in fiscal 2024. For 2025, we should see a continued improvement in net interest expense as we improve our leverage ratios, and our current forecast for 2025 is for net interest and other expenses of $6 million. We expect to record a tax expense in Q4 of $300,000 given our full year non-GAAP tax expense forecast of $2 million. As you update your models for 2025 and beyond, the assumed effective tax rate is currently expected to be in the range of 12% to 15%. Finally, our EPS guidance range for Q4 of $0.21 to $0.33 reflects a share count of 34.2 million shares. Operator, we are ready to take questions. Please open the line.
Operator: [Operator Instructions] The first question is from Craig Ellis from B. Riley Securities. Please go ahead.
Craig Ellis: Yeah, thanks so much for taking the question and congratulations on the revenue execution, guys. Jeff, I wanted to start just going back to some of the calendar '25 commentary. Just listening to some of the things that you were citing, I heard a little bit more NAND than I think I heard three months ago and maybe a little less DRAM. Did I hear that correctly? And as you think about the way the linearity of spending plays out next year as it relates to Ichor, any notable gives and takes that we should be aware of as we go through the year?
Jeff Andreson: Hey, Craig, thanks. I'll try and hit all of them because I think you squeezed in about four there. That was excellent. What I would say is, no, we -- let me just start with DRAM. We think that's going to continue to be strong, obviously, with high-bandwidth memory. We didn't talk about it specifically in the prepared remarks, but we don't see that going down. We'll see -- kind of foundry logic, even with some of the Intel pullback, we think that's going to be pretty strong as well. So -- but I would say, yeah, I've always believed that like the NAND would start maybe in the second half, I think, is what you picked up on of '25, and we're seeing it a little bit earlier. And I think that's probably been one of the bigger things that we've seen kind of strengthen since the last time we talked about it because when you look at our second half, we're up maybe 7% to 10% where it was probably 4% or 5% before. So with Q3 coming up and Q4 coming up, we're seeing some strengthening. And we're starting to see some of that initially in Q4, but also into Q1. I would say our visibility is fairly similar as it was three months ago. Maybe we're pretty confident out four months now or it was three months. But I think we have pretty good alignment across our customer base that we're going to see some of this NAND investment begin in the first half of the year. Now keep in mind, we're coming off of a pretty low level and even in '25, we might see that kind of crawling up to 25% or 30% of the prior peak, but it's still a positive momentum. Now, I think I'm getting your four-part question, which is how do we see this playing out through the year? I'd say we're pretty comfortable with kind of the demand environment we see this quarter into next quarter. So I'm not looking for a big uptick or a downtick at this time. I kind of see them as very similar demand levels. And then I think we'll see it progress throughout the rest of the year.
Craig Ellis: That's real helpful. And then if I could ask a follow-up, and this one is for you, too, Jeff. Just a lot of meaningful progress with the proprietary content. As you look at 2025, what should we be thinking about in terms of either a particular contribution to gross margin or revenue as some of those products move more into production ramp? Thank you.
Jeff Andreson: Yeah. So I would say the vast majority of it today and even into next year will still be internally consumed, mostly passive products. We talked about getting 55 gas panels out there. I'd remind you guys that we ship well over 1,000 a quarter. So it's inching up through the qualifications. But I think the large part will be the ones I mentioned around fittings, valves, substrates. Those are a large portion of the gas box, too. I would say the way to think about it is we're pretty comfortable with our 25 basis points improvement quarter-over-quarter. Even in a flat environment, I would expect that as we continue to grow that as you kind of work your models.
Craig Ellis: That’s great. Thanks, Jeff. Good luck guys.
Jeff Andreson: You bet.
Operator: The next question is from Brian Chin from Stifel. Please go ahead.
Brian Chin: Hi, there. Good afternoon. Thanks for letting us ask a few questions. Jeff, maybe to follow-up on NAND. So it sounds like that's starting to be a bit of a catalyst in terms of your revenue guide and some of your visibility into next year. I remember previously, you referenced how kind of the softness and the lack of recovery in NAND has kind of kept some of these inventory levels a little bit higher at maybe one or two customers in particular. And so I'm wondering, is there even a lag still that you're sort of operating into? Or are you quickly seeing some of that inventory burn off, and then you're going to kind of shift to real demand as opposed to there being an inventory buffer there?
Jeff Andreson: So I think in gas panels, no lag. I think those are going through. And I'd remind you, we participate whether it's a refurbished tool or a new tool that's going to support these technology transitions. So -- but what I would say is I think there'll be a little bit of a lag in some of the components, particularly weldments. Those are still running, I would call it, a little bit sideways, growing, but not like what we would have expected at this juncture. Having said that, I do see some of the machining stuff starting to pick up. So it's kind of -- I hate to say it's -- there's still an overhang. I would say it's largely tied to some of this NAND recovery, but we're seeing that kind of get going now. So -- but might be a little bit muted for the next three, four, five months. Hard for us to tell. There's a lot of part numbers on both sides.
Brian Chin: Okay. Fair enough. And on sort of that initial visibility you provided on Q1, how it could maybe be at similar levels on a revenue basis to Q4, do you think at a high level, is that reflective of maybe that's kind of where a step down in China occurs, maybe not directly for you but indirectly relative to your customers? Is that kind of the messaging there? There are some pluses like you referenced earlier in terms of positive variables. China is more of a negative variable. Is that kind of what that suggests?
Jeff Andreson: I would say maybe to a little bit -- to a larger extent, some of it is the rebalancing of our lithography business quarter-over-quarter, and keep in mind, we had a pretty strong period of silicon carbide. That's going to be muted now, I think, for another six months or so as well. So I'd say maybe to a larger extent, I mean, China, obviously, is still going to be a large portion of WFE, but I would say very consistent with other OEMs and comments that it will be down a bit. So -- but I think some of the tailwinds we talked about will offset those.
Brian Chin: Last quick thing. Relative to the positive updates you provided on progress with proprietary content initiatives, and you gave a lot of guidance -- sorry if I missed it, but for 2025, is 25% incremental gross margins maybe the right number or are you feeling confident that, that could even be higher?
Jeff Andreson: Well, you want to go ahead?
Greg Swyt: Yeah. Hey, Brian, it's Greg. Yes, as we said, we're continuing to see the benefit of our flow-through of at least 25%. So we continue to expect that. In fact, Q4 is a little stronger on flow-through from Q3 to Q4, more than the 25%. So I would continue to expect at least 25% as you do your modeling.
Brian Chin: Okay. That’s great.
Operator: The next question is from Krish Sankar from TD Cowen. Please go ahead.
Krish Sankar: Yeah. Hi, thanks for taking my question and congrats on the good results and guidance. Just for clarification on the NAND part, did you say that you're already actually seeing uptick in NAND WFE because of tech upgrades? Or is this more to do with more the inventory normalizing and that's helping pull through your gas panels for NAND? But actually, are you seeing true end demand pull-through?
Jeff Andreson: We're seeing some gas panels. I wouldn't say it's the vast majority of anything, but we can tell when they're going into NAND. So there is some activity this quarter, but I think it's going to be stronger as we enter the first half of 2025.
Krish Sankar: Got it. That's very helpful. And then on the proprietary content, I can clearly see that helping gross margin. Would it actually help your gas panel ASPs and also unit market share? And if so, how to think about their share gains in 2025 or 2026.
Jeff Andreson: I think the way I would think about that is we don't generally see large share shifts in the gas panel arena. But what I would tell you is some of these early applications we are on for the new gas panel are almost all incremental share gains. And so that will be helpful next year. But I don't suspect these will help the overall margin of the same gas panels that we ship today. It will just be a higher level of profitability with a very similar ASP.
Krish Sankar: Got it. Thank you, Jeff. Very helpful.
Jeff Andreson: Thank you.
Operator: The next question is from Tom Diffely from D.A. Davidson. Please go ahead.
Tom Diffely: Yes, good afternoon. Jeff, maybe just going back to Craig's earlier question about DRAM. I guess we thought it was going to be more of a discrete driver here in the fourth quarter and first quarter, but it sounds like from your comments, you just expect it to be relatively stable and strong.
Jeff Andreson: Well, I guess I would tell you I don't know exactly. I'm talking about top level overall revenue picture. I'm not sure I have a view of DRAM, whether it's going to be stable or not quarter-over-quarter. I don't see anything pulling it back. I think most of what we see here and read is really around shortages really and most of the investments at the most advanced nodes for high-bandwidth memory. So I don't think that's going to pull back at all.
Tom Diffely: Okay. That's helpful. And then when you look at your new components, I guess, specifically the fittings right now, once they're qualified at two and then soon to be two, that is it, you can just put them on any of your systems?
Jeff Andreson: We -- yeah, I think in general, unless there's a specific unique fitting that's supplied by somebody that we haven't designed our own for, but I would say largely will support our entire weldment business with the vast majority of all fittings.
Tom Diffely: Okay. Great. And then any updates on some of the longer lead time products like the flow controllers?
Jeff Andreson: I would say we're making pretty good progress. We've got -- we qualified another application. And, Tom, you know this, these evaluations, once they make it to our customers, customers can take at least nine months, possibly longer. And so some of those early shipments, we might get some indication in late Q4. But I would say we're progressing. We're moving the number of gas panels. It's almost doubling from the front half of the year next year. And then we have pretty decent view of next year's rollout and what we're attacking. And so we're starting to go after multiple applications and things like that. But I still think it will be kind of a 2026 big inflection.
Tom Diffely: Okay. And then last question for Greg. So when you look out nine months or a year when some of these second-generation gas panels are being delivered, at that point, do you think we have upside to our 25% incremental margin?
Greg Swyt: That is realistic, Tom, that we should expect to see that based on what Jeff alluded to as far as the stronger margins on those. So I would expect that those will -- as they become a higher mix, obviously, low volumes won't move the needle. But we would expect that they would contribute higher than 25%.
Tom Diffely: Great. Thank for your time.
Jeff Andreson: Thanks, Tom.
Operator: The next question is from Edward Yang from Oppenheimer. Please go ahead.
Edward Yang: Hi, congratulations on a nice quarter. And it's really impressive to see the progress you're making on the proprietary product pipeline. You mentioned, Jeff, getting on another application up to four. I think in the prior quarter, you said you might see two applications, but it was over a three- to four-month time frame. I was wondering if that progress was on schedule or still on track?
Jeff Andreson: No, I think it's on track. I mean I think -- I don't remember everything I said, but I do know that this one we expected to get closed. And there are a few others in the pipeline that we haven't spoken specifically about timing on, but they're progressing pretty nicely as well.
Edward Yang: Okay. And outgrowing WFE and outgrowing -- I mean, growing faster than your customers, you mentioned being exposed to the right PIC platforms. Are you seeing your customers also outsourcing more?
Jeff Andreson: I don't think they're outsourcing less. I think there are pockets where we're seeing kind of incremental demand to do some more, I'll call it, high-level assembly work for some of our customers. But I think in general, when you look at kind of our largest two customers, I think their strategy is pretty set. It's generally we're focused around the other two customers and some additional new ones as well. And so I think all of this bodes well for us to kind of outgrow the industry WFE projections for next year.
Edward Yang: And just finally, I would love to kind of get your perspective. In the past, Ichor's growth curve coming out of a down cycle was very, very strong. Is what you're seeing today consistent with past cycles? How would you compare this recovery to others? There's obviously been a lot of bifurcation like China versus AI. Leaning on your experience, does this look different than in the past?
Jeff Andreson: Yeah. I mean the answer is yes. I think that one of the big things, and you're newer to the story, is as we came out of '19, we generated like $100 million or something off of that base of, I don't know what it was, [$650 million] (ph) or something like that. A large portion of the $100 million in share gains was a final outsourcing of one of our customers, and so that can't reoccur. So what I would say is the profile -- and I think we grew 45% and the industry grew less than half that. And so a large piece of that was this outsourcing that we picked up there. So the profile is going to be a little bit different. We talked about maybe if the market grows 10% year-over-year, we will grow 15-ish. And so that's kind of how we think about that. And then we try and layer on new share gains as we go along every single year. So I think -- did I answer all of your question or did…
Edward Yang: You sure did. Very helpful. Thank you.
Jeff Andreson: Yeah. Thanks.
Operator: The next question is from Christian Schwab from Craig-Hallum Capital Group. Please go ahead.
Christian Schwab: Great quarter guys. Jeff, did I just hear you -- so did you say that you would outgrow WFE by 5%, that's kind of the targeted goal, the comment you just...
Jeff Andreson: Yeah. We'll be somewhere in that neighborhood. We kind of look at the consensus out there now, which is, I would say, on our last call, might have been closer to 15%. It's probably in the high single digits, maybe 10% now. So we'd be comfortable with that level of outperformance. And then we'll certainly outgrow profitability given the proprietary products that were cutting it.
Christian Schwab: And then your enthusiasm on the NAND side, there seems to be a huge product transition going to 300 layer. Is there anything going on in the moly replacement portion of that as they move to 300 layer stacking? Is there anything about that, that benefits you or not really?
Jeff Andreson: I would say we have a position in moly today, we'll have one in moly tomorrow. I think as you know, there's probably three big customers out there chasing that market, and one of them has a very large portion of it. So I don't think it'll -- I think it'll continue to grow, but I think there are other applications and things like that, that I think that will help us across our customer base as NAND recovers.
Christian Schwab: Great. No other questions. Thank you.
Jeff Andreson: Thanks, Christian.
Operator: The next question is from Ross Cole from Needham & Company. Please go ahead.
Ross Cole: Hi, congratulations on the results, and thank you for taking my question. So earlier, you had mentioned that there are some early applications for the new gas panel that are almost all incremental new share gains. I was wondering, with one of your competitors, you currently have, I believe it's roughly a 40% overlap of business with two of your large customers, is that going to change going forward with this new second generation and the -- it sounds like some of these incremental new share gain opportunities?
Jeff Andreson: Yeah. I would say there are applications that were -- and I'm not going to be customer-specific or competitor-specific, but they were done with smaller gas panel manufacturers internally. So it will be new for us.
Ross Cole: Great. Thank you. That’s all I had.
Jeff Andreson: Okay. Thanks.
Operator: This concludes the question-and-answer session. I would like to turn the floor back over to Jeff Andreson for closing comments.
Jeff Andreson: I want to thank you for joining us on our call this quarter. I'd like to thank our employees, suppliers, customers and investors for their ongoing dedication and support. We look forward to the opportunity to meet with investors at the New York Summit on December 17th and the Needham Growth Conference on January 14th. Please feel free to reach out to Claire directly to follow up with us. We look forward to updating you on our Q4 earnings call on early February. Operator, that concludes our call.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.